Operator: Good day. My name is Aaron, and I will be your conference operator for today. At this time, I would like to welcome everyone to the 2024 Sabra Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be question-and-answer session. [Operator Instructions]. With that, I would like to now turn the call over to Lukas Hartwich, EVP, Finance. Mr. Hartwich, please go ahead.
Lukas Hartwich: Thank you, and good morning. Before we begin, I want to remind you that we will be making forward-looking statements in our comments and in response to your questions concerning our expectations regarding our future financial position and results of operations, including our earnings guidance for 2025 and our expectations regarding our tenants and operators and our expectations regarding our acquisition, disposition and investment plans. These forward-looking statements are based on management's current expectations and are subject to risks and uncertainties that could cause actual results to differ materially, including the risks listed in our Form 10-K for the year ended December 31, 2024, as well as in our earnings press release included as Exhibit 99.1 to the Form 8-K we furnished to the SEC yesterday. We undertake no obligation to update our forward-looking statements to reflect subsequent events or circumstances, and you should not assume later in the quarter that the comments we make today are still valid. In addition, references will be made during this call to non-GAAP financial results. Investors are encouraged to review these non-GAAP financial measures as well as the explanation and reconciliation of these measures to the comparable GAAP results included on the Financials page of the Investors section of our website at sabrahealth.com. Our Form 10-K, earnings release and supplement can also be accessed in the Investors section of our website. And with that, let me turn the call over to Rick Matros, CEO, President and Chair of Sabra Health Care REIT.
Rick Matros: Thanks, Lukas. Appreciate it. Thanks everybody for joining the call. We appreciate it. Let me start by sending out love and prayers to the Bibas family. Their bodies will return to Israel today. May the memories of Kfir and Ariel and Shiri be a blessing. Thanks for allowing me that. So moving on to Sabra, first, I want to comment on the promotions that we announced this week for Kara, Lukas, and Anna. We're really blessed to have three of them as part of our team. They're fantastic and they exemplify everything that's good and important about Sabra and also exemplifies the depth of our team and just really appreciate them and look forward to working with them in the years ahead. Moving on to performance for the quarter, Sabra delivered what's been a success -- a succession of a number of great quarters in a row. Our senior housing and skilled portfolio continue to strengthen workforce availability does remain a challenge to the sector, but our tenants have been able to implement strategies to mitigate those challenges and labor has stabilized. Our SHOP same-store occupancy was up 80 basis points sequentially with margins up 20 basis points. Our SHOP cash NOI was at 17.9% for the quarter. Our senior housing triple-net coverage stayed steady at 1.36. Our skilled occupancy was up 60 basis points sequentially with skilled mix up 30 basis points. Our EBITDARM coverage hit an all-time high of 2.09. Our skilled margins are now higher than we've seen in years. Our top 10 had another strong quarter. For 2025, we'll continue to build upon the strategy we successfully executed in 2024, as evidenced by our 7% year-over-year normalized AFFO growth. We would anticipate a higher volume of deals in 2025. The increased volume we started to see before year-end has accelerated since with more opportunities than we've seen in quite a long time. The opportunities are primarily sharp, but we are seeing more skilled opportunities. The fact that we had nothing new to announce this particular quarter shouldn't reflect on what we think we'll get done this year. We fully anticipate to have a busy year and a year that will have higher volumes than we had last year. Let me move on to the regulatory and political environment. The political environment's potential impact on our business has been an overhang, but I'd like to make a couple of points. First, the threat of Medicaid cuts. We take that very seriously. While any actions that may be taken are unpredictable, there are natural guardrails in place and I want to go through some of those guardrails. As it pertains specifically to Medicaid cuts, Congress has been historically protective of the elderly population, particularly those vulnerable institutionalized folks. The Medicaid budget, inclusive of matching funds is critical to the governors of all states, both red and blue. And in fact, the red states have been the greater recipients of Medicare, of Medicaid access, the expansion of Medicaid access in recent years. So in addition to the bipartisan support that we've always had in Congress, the governors of the states again both red and blue will be united to protect the elderly in our facilities and the Medicaid budgets that are so critical to them. We have a robust lobbying effort that we expect will be successful. And a couple of other things I think to point out in terms of how much in the beginning of the process we're in. The House budget has $880 million of unspecified Medicaid -- $880 billion of unspecified Medicaid cuts. The Senate version has no Medicaid cuts and overturns the staffing mandate. So you've got opposite sides of the spectrum. You have no specificity on where those Medicaid cuts are, so a very, very long way to go. Finally, as I noted earlier, I think the final guardrail for us is the strength of our portfolio. Having margins, rent coverage, SHOP margins where they are with organic growth still to come in all in both those segments I think puts us in a very good position to withstand anything that may happen going forward. And with that, I will turn the call over to Talya.
Talya Nevo-Hacohen: Thank you, Rick. Sabra's managed senior housing portfolio had another solid quarter. The total managed portfolio including non-stabilized communities and joint venture assets at share had sequential revenue growth of 3.5%, cash NOI growth of 5.4% with margin expansion of 50 basis points. These statistics demonstrate sequential improvement in operating results that reflect the continued recovery in Sabra's senior housing portfolio. In the fourth quarter, we added one property to Sabra's managed portfolio. We see opportunities for external growth setting up well alongside internal growth. Sabra's same-store managed senior housing portfolio including joint venture assets at share continued its strong performance this quarter. The key numbers are: Revenue for the quarter grew 7.4% year-over-year with our Canadian communities growing revenue by 10.6% in the same period. Both of these results are consistent with the growth statistics we reported last quarter. Fourth quarter occupancy in our same-store portfolio grew by 2.3% year-over-year. Notably, our domestic portfolio occupancy grew 2.8% during that period while our Canadian portfolio grew 1.2% in the same period. RevPOR in the fourth quarter of 2024 continued to rise with an increase of 4.5% year-over-year while exPOR rose a near 0.6% for the same period. Total expenses for the same-store portfolio rose 3.4% in the fourth quarter on a year-over-year basis. Insurance costs had the largest percentage increase among all expenses but represent less than 3% of total expenses. Labor cost, which represent more than 50% of expenses, grew 2.1% in the quarter on a year-over-year basis. Cash NOI for the quarter grew 17.9% year-over-year, just above last quarter's results. In our U.S. communities, cash NOI grew 15.2% on a year-over-year basis, while in our Canadian communities; cash NOI for the quarter increased 26.9% over the same period, benefiting from the continuous strong performance of our joint venture properties. Overall, we expect to see revenue growth continue to outpace expense growth as it has in recent quarters, resulting in ongoing growth in cash NOI. Cash NOI margins should continue to expand across the portfolio as the senior housing industry builds revenue by balancing occupancy and rate and expenses, especially labor costs remain stable. With this as a backdrop, we are seeing significant transaction volume in the senior housing space. Virtually all of the deals are structured to transact as managed rather than leased properties. Our cost of capital now allows us to pursue these opportunities, which can generally be described as newer, nearly stabilized senior housing communities that offer care to residents. Our net lease stabilized senior housing portfolio also continues to do well with strong rent coverage, reflecting the underlying operational recovery. And with that, I will turn the call over to Mike Costa, Sabra's Chief Financial Officer.
Mike Costa: Thanks, Talya. For the fourth quarter of 2024, we recognized normalized FFO per share of $0.35 and normalized AFFO per share of $0.36. Normalized AFFO totaled $86.9 million this quarter, which is in line with the third quarter. I would like to highlight a few key components of this quarter's earnings. Cash rental income for our triple-net portfolio totaled $90 million for the quarter, which was down $1.8 million due to timing of cash basis tenant rents and the impact of asset sales. Cash NOI from our managed senior housing portfolio totaled $24.1 million for the quarter, compared to $22.9 million last quarter. This increase was driven primarily by continued sequential same-store growth as well as the impact of a 92 unit property acquired at the beginning of the fourth quarter. Recurring cash G&A was $10.2 million this quarter and slightly better than the $10.4 million per quarter run rate we've provided on the last several calls. Normalized FFO per share and normalized AFFO per share were $1.39 and $1.44 respectively for the full year, which represents 7% year-over-year growth. This growth is the result of steady performance improvements in our managed senior housing portfolio, continued stability in our triple-net portfolio and disciplined capital allocation, three factors that we expect to contribute to further growth in 2025 as illustrated in our full year 2025 guidance. Our full year 2025 guidance on a diluted per share basis is as follows. Net income $0.67 to $0.70, FFO $1.42 to $1.45, normalized FFO $1.43 to $1.46, AFFO $1.47 to $1.50, and normalized AFFO $1.48 to $1.51. At the midpoint, we expect both normalized FFO per share and normalized AFFO per share to increase approximately 4% over 2024. It is important to note that our guidance does not assume any 2025 investment disposition or capital markets activity. There are a few other important assumptions in our guidance I would like to point out. Cash NOI growth in our triple-net portfolio is expected to be low-single-digit in line with contractual escalators. Additionally, our guidance assumes no additional tenants are placed on cash basis for revenue recognition. Cash NOI growth for our same-store managed senior housing portfolio is expected to be in the low to mid-teens. As the portfolio gets closer to full recovery, this growth rate may decelerate and as a result our guidance assumes the growth rate in the first half of the year will be higher than the growth rate in the second half of the year. General and administrative expenses is expected to be approximately $50 million and includes $11 million of stock-based compensation expense. The weighted average share count assumed in our guidance is approximately 240 million and 241 million shares for normalized FFO and normalized AFFO respectively and is in line with our fourth quarter weighted average share count after adjusting for the timing of ATM share issuances during the quarter. Now briefly turning to the balance sheet, our net debt to adjusted EBITDA ratio was 5.27x as of December 31, 2024, a decrease of 0.03x from September 30, 2024, and a decrease of nearly half a turn from December 31, 2023. This improvement in our leverage is driven primarily by the continued NOI growth in our managed senior housing portfolio, accretive capital recycling, and prudent use of our ATM to fund growth. As of December 31, 2024, we are in compliance with all of our debt covenants and have ample liquidity of $980 million consisting of unrestricted cash and cash equivalents of $60.5 million, available borrowings under our revolving credit facility of $893.4 million, and $26.1 million related to shares outstanding under forward sales agreements under our ATM program. As of December 31, 2024, we also had $382.8 million available under the ATM program. Finally, on February 3, 2025, Sabra's Board of Directors declared a quarterly cash dividend of $0.30 per share of common stock. The dividend will be paid on February 28, 2025, to common stockholders of record as of the close of business on February 14, 2025. The dividend is adequately covered and represents a payout of 83% of our fourth quarter normalized AFFO per share. And with that, we'll open up the lines for Q&A.
Operator: Thank you. [Operator Instructions]. Our first question for today comes from the line of Farrell Granath with Bank of America. Your line is live.
Farrell Granath: Hi, thank you so much. My first question is in regards to the occupancy for your SHOP portfolio. Just looking ahead to 2025, what are your thoughts of the pacing of the occupancy, either an acceleration or deceleration just generally in the senior housing space?
Talya Nevo-Hacohen: It's an interesting question because what we're seeing is operators managing, balancing out, pushing rate versus occupancy because they can't, not everyone can do both at the same time. And so that's -- so it's very hard for me to sit here and handicap which, how much occupancy is going to increase versus a focus on revenue increases by driving RevPOR. We're seeing very strong -- we have seen very strong increases in our Canadian portfolio, which is now seemed to be stable, getting ramping down in terms of the rate of growth. But there's still plenty of room in our domestic portfolio and I think that certainly in IL will continue to get pushed on the occupancy side in AL I think there's definitely continued, there'll be continued push, but a desire also to raise RevPOR at the same time.
Rick Matros: And Farrell, the only other thing I would add is, so the way I would look at it is, it's not going to be a deceleration, it's just a function of how much it's going to accelerate to Talya's point.
Farrell Granath: Great. Thank you for that. And also I know you made some comments on the opportunity set that you're seeing in 2025, an increase in it, both a mix of SHOP and the SNFs. I was curious if are you seeing any impacts in pricing when it's coming to SNFs, specifically due to the current environment?
Talya Nevo-Hacohen: It's interesting you say that. We were just at the eCap conference week 10 days ago. I would say that the transaction market in skilled nursing is robust right now. There is a lot of money chasing deals and opportunities still. Whether lenders and the healthcare REITs are able to continue to participate in that right now in an accretive fashion is the big challenge, how to figure that out.
Rick Matros: So it's the strategic buyers that are chasing the money. That's what the issue is from a competitive perspective. So they're valuing these assets not just based on a nursing facility, but on the revenue it generates for all their acquired businesses. So they're operating entities, so they're able to pay up. So as Talya said, that they've been -- it's been pretty frothy for those guys.
Farrell Granath: Okay. Thank you so much.
Operator: Thank you for your questions. Our next question comes from the line of John Kilichowski with Wells Fargo. Your line is live.
John Kilichowski: Thank you. Good afternoon. Maybe just to follow-up that last question, Rick, just from your opening remarks, it sounds like you feel a lot more confident. The acquisition pipeline this year versus last year, at least you expect an acceleration. I'm curious what you're seeing or what's changed quarter-over-quarter or from the past couple months till now that makes you feel confident in your ability to accelerate these deals. Given, like you said, it's pretty frothy for some of your competition to bid up on deals.
Rick Matros: Hey John, I'll make a couple of comments and turn it over to Talya. First, we're not doing the kinds of deals that some of our competitors are doing. There's been a lot of loan volume and we're just as we've talked about in quarters past. And I think John; we're just not interested in pursuing that unless there's a very specific reason that's tied to one of our operators. So if you take all that volume away, it changes the picture for everybody. But just to remind everyone, last year, there were a couple of things. One, acquisitions were -- acquisition opportunities were just starting to pick up over the course of the year, particularly on the SHOP side. And our cost of capital was improving over the course of the year. So this year, we enter into it in a much different place where there's much higher deal volume and our cost of capital allows us to do the deals that we would like to do. Talya?
Talya Nevo-Hacohen: Sure. I mean, how's this? I'm clearing at least 10 confidentiality agreements a week and we're only in mid-February. There's just a lot to -- a lot of deals coming into the market and there's a few sources for them that for the most part, one source is a lot of private equity firms that have assets, that have either are at funds that are end of life or beyond, similar to other kinds of investors, there are PE funds that have just decided it's the price is good enough now let's just get out. So we're seeing quite a bit of that because there's been enough of a recovery to recoup and just exit. We're also starting to see green shoots on some interesting refinancing, recapitalization opportunities because three months ago, you recall, four months ago, everyone expected interest rates to be declining. And actually what's happened is that has reversed and interest rates have gone up in the 10 years at about a 10 -- 4.5 now. So there's opportunities to refinance and not do much on the cash in refi to refinance out banks that have loans that sort of disappeared and now we're seeing more refis looking for pref equity, mezzanine debt, et cetera. So there's sort of a new stream of opportunities coming in. But there's the recovery, but sort of you really pull back -- zoom out here for a sec. There's been enough of recovery that people that have wanted to exit can finally hit a number that feels okay and they can exit as opposed to continue to carry. And they're really willing to do that and that's really the break point that we've hit over the last few months.
John Kilichowski: Okay, got it. I appreciate the detailed answer. And then, just one more from me on the SHOP guide, earlier in the opening remarks there was a comment made about the back half maybe experiencing some modest deceleration in that growth just given it gets harder the comp year-over-year. How do we pair that with the fact that in this business there should be greater operating leverage as you hit those sort of higher occupancy marks? And I think you're at 85.8. And once you reach those higher 80 marks, we've always heard in this business, you really start to see the operating leverage of the business shine that maybe should allow for more growth. So could you help us sort of pair those two comments together?
Mike Costa: Yes, I think it's us trying to be a little bit conservative in those assumptions. I think that's a big component of it. I'm not going to hide that fact. But also, I mean last year, we saw quite a bit of occupancy growth year-over-year. We're sitting at about 85.5 as of the fourth quarter. If you think that this thing stabilizes it in the upper-80s, low-90s, you're starting to get to a point where those occupancy gains aren't going to be as easy to come by versus where they were a year or two ago, right? So it's just us trying to be conservative on those assumptions and that growth, still acknowledging the fact as you pointed out and as Talya pointed out, that the operating leverage kicking in is something that not only are we seeing right now, but we expect to see even more so as occupancy continues to get closer to that, call it, 90% level. So that's effectively it. I mean, I don't think there's much more to look into it besides that.
Rick Matros: Your point is correct, John.
Talya Nevo-Hacohen: Yes. That's why I noted it export has increased 0.6%, which is essentially -- it's essentially flat, which goes to operating leverage.
John Kilichowski: Okay. Great. Thank you.
Operator: Thank you for your questions. Our next question is from the line of Nick Joseph with Citi Research. Your line is live.
Michael Griffin: Hey there, it's Michael Griffin here with Nick. Rick, I think in your opening remarks, you talked a little bit about some strategies that your operators have implemented to effectively mitigate costs. Can you maybe expand on that a bit, what some of these initiatives could be? And is there the opportunity within operators in your portfolio to share best practices, just given cost mitigation is going to remain to be a focus?
Rick Matros: I think it's a couple of things. One, in terms of recruiting, they've embraced digital marketing for recruiting in very many cases, which has been really helpful getting just more people into the door to be considered. The other is I think there's been a complete revamping of the onboarding processes with all of our operators. So the onboarding process has been lengthened, there typically are mentors that are assigned to new employees, and I think that's really helped get some traction with longevity. So I think those are the two main things. Obviously, we saw in 2022, a rebasing of wages. And so that's kind of normalized since then. So we've always competed with the service sector, but I think the rebasing of the wages during COVID has made our operators a more attractive destination as opposed to other service kinds of positions. So it's really those things.
Michael Griffin: Yes. That's a helpful context there. I appreciate it. And then maybe just going back to the acquisition pipeline, Talya, you talked a bit about looking at more stabilized product that had a care component. Should we read into that, that the pipeline has tilted maybe more toward AL relative to IL within the managed portfolio and what kind of yields or IRRs are you underwriting to for prospective transactions?
Talya Nevo-Hacohen: So I'd say that we're seeing -- I think that assets with care components are, by definition, doing better now. So recovery has really affected them now because they're able to charge rate that's part of -- as opposed to necessarily drive to maximum occupancy. Of course, they have a higher cost structure. But there's been a lot of those built. Oftentimes, they're IL/AL memory care, by the way. So that is, in fact, what we're seeing mostly. We are seeing some standalone IL, but not that much. And I'm sorry, what was your the second part of the question? What underwriting to…
Michael Griffin: Just from yields or IRR is what you're underwriting to?
Talya Nevo-Hacohen: We're still seeing deals that going in might be 7% to 7.5%, but stabilize it above that and that's still happening.
Rick Matros: And I would also just would reiterate really strategically, we are focused on increasing our SHOP exposure. But within our SHOP exposure to your point, to your question, you should see over time our AL increase in our IL decrease, which should help our growth numbers as well.
Michael Griffin: Great. That's it for me. Thanks for the time.
Rick Matros: Thank you, Michael.
Operator: Thank you. Our next question is from the line of Austin Wurschmidt with KeyBanc Capital Markets. Your line is live.
Austin Wurschmidt: Hey everybody, it's Austin Wurschmidt here. Just going back…
Rick Matros: Hey Austin.
Austin Wurschmidt: Hey Rick, going back to your comment about kind of full recovery in the SHOP portfolio. My sense was that was an occupancy comment. I guess can you kind of share where margins and NOI stack up relative to occupancy and what kind of the full recovery and future upside entails for those metrics as well?
Talya Nevo-Hacohen: I think I went through where we are today in my comment, I think there's visibility on getting somewhere close to where we were pre-pandemic care now in senior housing.
Austin Wurschmidt: Got it. I mean are there any...
Talya Nevo-Hacohen: Particularly, and those assets where you can really drive rate, which is based on location, et cetera, vintage, things like that.
Austin Wurschmidt: I mean are there any regions or operators specifically that have already surpassed, I guess, the full recovery point and would give you even more confidence about the balance of the portfolio, being able to grow again, beyond what you're deeming to be kind of full recovery?
Rick Matros: Yes, I think we definitely have operators both in our senior housing and our skilled portfolio that has surpassed where they were pre-pandemic. And so we look to do more deals with them. But our portfolio has gotten so strong and a lot of that happened with some of the steps that we took during the pandemic that all of our operators are on that path. Some are just further ahead than others. But we're at the point right now where we don't have stragglers that we had pre-pandemic. And it's also why we've been selective as we've been in terms of the deals that we've done, both in terms of market operator and the age of the assets that we're buying. So we think with everything that we did last year, and actually, we had a lot of volume actually in 2022 as well we've really enhanced the quality of the portfolio from a market asset and operator perspective.
Austin Wurschmidt: And then just last one. Rick, you mentioned kind of you expect to do more investments this year relative to last year. How significant of a year-over-year increase could we see, given all the reasons that Talya highlighted around what's going on in private equity and with higher interest rates today?
Rick Matros: Before the pandemic, if you exclude some of the really big moves that we made, we typically did several hundred million a year that we'd like to get -- I'm not going to predict that will exactly be there this year, but that's certainly a goal for us is to get back to the level of investments that we did on a routine basis prior to the pandemic.
Austin Wurschmidt: That’s all for me. Very helpful. Thank you.
Operator: Thank you for your questions. Our next question comes from the line of Vikram Malhotra with Mizuho. Your line is live.
Georgi Dinkov: Hey, this is Georgi on for Vikram. Just on the external growth pipeline, can you just talk about what does the competition look like for stabilized assets in the senior housing.
Talya Nevo-Hacohen: Mostly the healthcare REITs for the nicer assets, the institutional quality assets, I'd say below that kind of quality level, I think you've probably got some high net worth. We're not seeing private equity in the space right now. Though they're starting -- there's starting to be rumblings of their coming back. It's hard to be a levered buyer right now. There's just not enough spread between cost of debt and cap rate.
Georgi Dinkov: That's helpful. And I just have one more on the SHOP portfolio. Can you just provide more color on what January end ups were compared to last year?
Talya Nevo-Hacohen: I don't have the exact numbers for the portfolio with me but it's been -- it's sort of in the 4% to 5% range is what we're seeing in our larger operators, and they're achieving those.
Mike Costa: Yes. And the other thing to point out, too, is that rent bumps are all done on January, right? It varies operator by operator, right?
Talya Nevo-Hacohen: Some do them on an anniversary date of the lease.
Mike Costa: Right.
Talya Nevo-Hacohen: Some do them in January, it varies, Mike's right?
Georgi Dinkov: Great. Thank you.
Operator: Thank you for your questions. Our next question comes from the line of Juan Sanabria with BMO Capital Markets. Your line is live.
Juan Sanabria: Hi, thanks for the time. Just hoping you could talk a little bit about the infrastructure, the platform guidance seems to call for kind of flat G&A. So just curious how you guys are investing in the system that it seems to be a strength of the REITs to have the platforms and the capital to invest behind the business. So presumably, the moat will get wider as that happens over time. And I'm just curious on your latest initiatives around being a leader in SHOP.
Mike Costa: Yes. I mean, look, we've been in SHOP for a while now, and we established infrastructure several years ago when we started our foray into that. So from a systems perspective, from a technology perspective, from a personnel perspective, those are pretty well established to the point where adding additional scale in there. The -- any additional costs are going to be really incremental. It's not anything major to take on larger portfolios or more operators, whatever it may be. And that's where probably the biggest impact, I would say, from a G&A perspective, would be on the SHOP side. To the extent there's any triple-net, we could absorb that without adding any headcount realistically. So does that answer your question, Juan?
Rick Matros: Yes. Now, I would just add, Juan, that from a systems perspective, we're continually upgrading and improving our systems. So that the technology that we have in place continues to get better, allows us to provide different levels of support to our operators to interact differently to have more visibility to have more predictability as we start building artificial intelligence capabilities into our systems.
Juan Sanabria: You said the keyword there. Just curious on the 2025, you talked about acquisitions ramping up. But curious if there's any dispositions, you had some sales in the fourth quarter, which we didn't necessarily model. So just curious how we should be thinking about sales and dispositions for 2025.
Rick Matros: Yes. The dispositions that we had in the quarter, sort of ordinary course of business. And I think we talked about in the last several quarters that we had on SNF portfolio that's still in the process of being sold, that's about $50 million. Other than that, what we've said is that everything else is a ordinary course of business, an ordinary course of business for us historically has been sort of $50 million to $100 million plus a year in disposition. So there was nothing kind of unusual about it. And you can tell by the number of facilities in what was a relatively small proceed number that they weren't producing very much.
Juan Sanabria: Thank you.
Rick Matros: Yes.
Operator: Thank you for your questions. Our next question is from the line of Richard Anderson with Wedbush. Your line is live.
Richard Anderson: Thanks. Good morning, up there. So I want to talk about the...
Rick Matros: Rich, I just want to first say to you that a few quarters ago, three quarters ago, I believe, you said, can you foresee the day when your coverage is over 2x.
Richard Anderson: So that's all the questions I have. No, just kidding. So on the pipeline, I want to talk about the accretive dilutive math on that, like you look at you're trading at around 12x forward AFFO. That's like an 8-ish type of AFFO yield. I don't know if you think about it that way. But do you -- would you say you're breakeven in the first year of investment and grow from there? Or just curious how you think about that from an accretive dilution standpoint?
Mike Costa: Yes. I mean based on where our stock is at right now as well as where we can issue debt out or using kind of leverage, somewhere in the low to mid-7s on a going in yield is breakeven or slightly accretive. We also have...
Richard Anderson: You mean a blend -- you mean a blended low to mid-7s.
Talya Nevo-Hacohen: Yes.
Mike Costa: Yes. Yes, a blend of equity at today's prices plus debt, right? We think we could go in with initial yield to somewhere low to mid-7s and be breakeven or slightly accretive. But like Talya mentioned earlier, there's also opportunities that we're looking at where it's around that level, but there is also some growth baked into it. So it's not only just looking at that initial yield, but looking at the long-term growth profile and how that compares to the expectations built into our cost of capital.
Richard Anderson: Okay. So Michael, if you're do $500 million this coming year, would it be safe to say half of that is funded with equity more or less?
Mike Costa: The numbers I've been throwing out usually is like 60:40 equity debt just can keep our leverage where it's at or around 5x.
Richard Anderson: Okay. And then, Rick, back to you, big picture. You mentioned the spread between the House and the Senate in terms of Medicaid unspecified, who knows exactly what is actually in those -- that line of thinking from the House perspective. But if it's so wide like that, I mean, is there a concern that at least there will be some of it, I mean, to find a middle ground between those two governing bodies. I'm just curious how we get through this and avoid any kind of disruption at all?
Rick Matros: So a fair question. So -- and this is probably not going to sound great because the numbers are so enormous, anything over $1 trillion would be some cause to worry. If anything under $1 trillion…
Operator: Ladies and gentlemen, we have lost our main speaker line. Please hold and we'll work to get them back. I'll put you back into hold music until we have them back on with us. Give us one second; we'll be right back on. Thank you. Ladies and gentlemen, we really appreciate your patience here. Richard, I know you're in the middle of your question here. We'll bring you back up on to the stage. Go ahead.
Mike Costa: Well, Rick was in the middle of answering the question. I guess I broke the Internet with it, but you were saying, Rick, on this...
Rick Matros: Yes. So what I was saying was, you're talking about really big numbers here. If the number is over $1 trillion, it creates a lot of concern regardless of how the Medicaid cuts are giving out -- so it gets better as big as the $880 billion sounds. But since you're starting it with 0 at the Senate and $880 billion at the House, that number is going to come down. Hopefully, it goes away, particularly when the governors start getting involved in the fight, but it's going to come down. So given how strong the portfolio's performance is with rent coverage and the margins and it's continuing to improve and still got room to grow ahead of it, I think that we'll be okay even if there's some kind of a hit. So does that answer your question?
Richard Anderson: Yes, it does. And how would you parlay that into Medicare different forces at work, but just curious.
Rick Matros: Yes. It's different forces at work. I think, look, everything is being tested right now at the courts. They can't just do this if they want to do it. They may try to, but they can't just do it. There are statutory issues and Congress has to be involved. So I actually think that have less concerns about Medicare than I do about some kind of hit on Medicaid. Even though, I'm more optimistic and pessimistic about Medicaid or certainly the overall impact of it.
Richard Anderson: Okay. And much respect to…
Rick Matros: I mean you got to be open as well as I do. I mean you're all over this kind of stuff politically like I am. I mean, we're living in a time that's completely unpredictable, right? So I just tend to fall back on the bipartisan support, the lobbying efforts, the fact that this statutory, you've got states involved as well as both chambers of Congress. It's just not going to be that simple to hurt people who are most dependent upon government aid.
Richard Anderson: Fair enough. And I just want to say much respect to your opening comments on this call, by the way. Thanks, everybody.
Rick Matros: Thank you.
Operator: Thank you. Our next question is from the line of Alec Feygin with Baird Equity Research. Your line is live.
Alec Feygin: Hello, and thanks for taking my question. I'll to echo what Rich said in respect to those opening comments. And to your point, the world is unpredictable in so many different facets. But my question is do you expect specialty and behavior coverage to improve as the year progresses?
Rick Matros: I think it's just going to kind of meander around where it is. A lot of the fluctuations are the behavioral hospitals we have, which it's just a really dynamic business. The coverage is fantastic. So there's no sort of concerning trends. But yes, I think it's just going to kind of meander around where it is. I don't think it's going to be consequential.
Alec Feygin: Got it. And kind of changing that, but what is the current size of the cash basis tenant base? And then did the dispositions in the quarter include tenants on cash basis?
Mike Costa: So in terms of the cash basis tenant base, I'd like to quantify that in -- I put it in two buckets. There's really the ones that we're really focused on are the ones that are not paying us full rent and paying us random amounts month-to-month, quarter-to-quarter. And that component of the cash basis tenant pool is a couple of percentage points, I don't know, it's less than 5% of our NOI. And regarding your question on some of the sales that we had in the quarter, yes, that was related to some of our cash basis tenants.
Alec Feygin: All right. Thank you.
Operator: Thank you. Our next question is from the line of Michael Stroyeck with Green Street. Your line is live.
Michael Stroyeck: Thanks and good morning. Maybe one on the transaction market. Is there any recurring theme on potential deals that the company has looked at and then ultimately passed on, particularly within SHOP, is it also just a function of price, like what you're seeing with NIF transactions or maybe something else that leads to not closing on these deals?
Talya Nevo-Hacohen: I think there are a couple of characteristics that we're focused on. One is the quality of the asset itself of the real estate and that we look at vintage of the asset as well. So that's one thing. We look at the market and we look at, frankly, long-term viability of the assets. Those are critical factors. The SHOP what we're seeing now generally is high-quality assets and it's an opportunity, as Rick described earlier to improve our portfolio over time to add really high-quality assets.
Michael Stroyeck: I guess on those high-quality assets that you're bidding on, is it just a function of different cap rates that you're ascribing versus where the deals ultimately trade at?
Talya Nevo-Hacohen: I think the band of cap rates is fairly narrow. Often times, the seller or the operator have an ability to say where -- who the buyer will be. And so relationships come to bear here. We're also seeing off-market deals where relationships are definitely part of the discussion.
Michael Stroyeck: Got it. Okay. And then maybe one just on SNF coverage levels. The magnitude of the SNF coverage increase during the quarter seemed fairly outsized relative to actual occupancy gains we saw. Can you just help us understand what drove such a healthy step-up in coverages?
Rick Matros: Yes. I think it's where occupancy kicked in. It was a big jump in terms of the impact on operating leverage, really kind of as simple as that. Lukas, you have…
Lukas Hartwich: Medicaid too, yes.
Rick Matros: Yes. That's the Medicaid increases that have kicked in and then the market basket as well -- not the market basket, I'm sorry, but the Medicaid increases that kicked in, in July and August, really had the biggest impact. So it's this next quarter since we quarter-to-quarter areas that you'll also see impact from the Medicare market basket.
Michael Stroyeck: Got it. That’s helpful. Thank you.
Operator: Thank you. Next question is from the line of Aaron Hecht with JMP Securities. Your line is live. Go ahead.
Aaron Hecht: Thank you. I was just looking at your loan book, it looks like it's around $400 million sounded like that's not an area you want to be focused on and the maturity date ranges are pretty wide. Is anything coming up soon in terms of maturities? And do you expect those to convert to ownership? Or do you just recycle out of those as they come due.
Talya Nevo-Hacohen: So there's nothing imminent in that loan pool. I think individually, there are some that we'd like to refine, redeploy the capital and others that where we have an opportunity to buy in which case, we'll consider that when that window opens, there's nothing really actionable there at this moment.
Aaron Hecht: Okay. Yes. I was really looking at the three mortgage loans and it looks like the first maturity dates in 2026, and that's the big bucket. Is there a big maturity in 2026? Or is that more back-end weighted?
Talya Nevo-Hacohen: There's a maturity at the end of 2026. So it's essentially two years away. Just under two years away.
Aaron Hecht: And what's the size on that?
Mike Costa: Yes, it's a majority; it's about $300 million, the majority of that bucket.
Rick Matros: RCA loan.
Aaron Hecht: Okay.
Rick Matros: So that I mean that discussion is going to be that they want to take us out, which would be fine, and they want to have a conversation about flipping it into a triple-net, we might have that conversation as well. So that one just remains to be seen. We're happy with how things are going there. The loan is performing. So it just sort of play it as it goes along.
Aaron Hecht: Okay. Thanks, Rick. Appreciate that.
Rick Matros: Yes.
Operator: Thank you for your question. [Operator Instructions]. We have our next question from the line of Omotayo Okusanya with Deutsche Bank. Your line is live.
Omotayo Okusanya: Hi yes, good afternoon, everyone. Great comments at the beginning of the call, for sure, Rick. Sticking on this topic of Medicare, Medicaid. What are your thoughts around if they are eventually to get cut? Are they kind of more impact to SNF program versus kind of classic Medicare, Medicaid on the skilled nursing side? Is that all kind of will depend on this trillion dollar number you're talking about? Or how do we kind of think about that probability?
Rick Matros: Say one more time, Omotayo, you breaking up a little bit?
Omotayo Okusanya: Sure. So I was talking about, again, the potential Medicare and Medicaid cuts that has been discussing on the call. And just looking through that in terms of the potential amount, is it possible that any way that all the cuts just kind of rolled down more towards like the CHIP program? Or than anything else versus it cuts the Medicare, Medicaid that will impact skilled nursing like how do we kind of handicap portability of something like that happening?
Rick Matros: Yes. So I think that it's a fair question. And I think the answer is, yes, there are other programs out there like CHIP's Medicaid expansion generally that probably get targeted first. Some of the home basin community programs get targeted first as well. So yes, I think it's a fair statement, which goes to some of why we feel at least comfortable that even if something does happen, it won't be anything that sort of creates real damage to the space for the portfolio. And the other thing I didn't mention though in my opening remarks is, depending on what the final number is and what sectors get hit? You may see sectors kind of uniting together in their lobbying efforts. There may be some common cause here as well. So I'm not even sure that you'll see lobbying efforts that are completely independent of each other. So both in the sectors, from organizations like AARP, there's going to be a lot of activity here around any potential cuts that affect the indigent and the elderly.
Omotayo Okusanya: That's helpful. But one other one, I know it's still pretty early, but any thoughts at this point about how Robert Kennedy may want to run CMS and what the implications are for the industry?
Rick Matros: I have zero idea how to predict anything about this dude. But ask Elon, maybe he's got more insight than I do.
Omotayo Okusanya: Yes. Appreciate it.
Operator: Thank you for your questions. We have no further questions at this time. So I'd like to turn the call back over to Mr. Matros.
Rick Matros: Thanks, everybody, for your time today. Appreciate the support as always, and we look forward to seeing many of you at the Citi Conference. Have a good day.
Operator: Thank you. And ladies and gentlemen, that will end Sabra's 2024 fourth quarter earnings call. Have a great rest of your day. Take care.